Operator: Good day, ladies and gentlemen, and welcome to the Blink Charging Company, Third Quarter 2021 Earnings Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Ali Bania, Vice President of Investor Relations. Sir, the floor is yours.
A - Aly Bonilla: Good afternoon, everyone. And welcome to Blink Charging 's third quarter 2021 Investor call. On the call today, we have Michael Farkas, Chairman and Chief Executive Officer, Brendan Jones, President, and Michael Rama, Chief Financial Officer. Please note that there is a slide presentation acCompanying today's earnings call, whereby viewers can follow along. The slides, can be accessed on the Investor relations section of the Blink Charging website. I would like to take a moment to read the Safe Harbor statements. This conference call contains forward-looking statements as defined within Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements and turns such anticipate, expect, intend, may, will, should, or other comparable terms involve risks and uncertainties because they relate to events and depend on circumstances that will occur in the future.  Those statements include statements regarding the intent, belief, or current expectations of Blink and members of its management, as well as the assumptions on which such statements are based. Prospective investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, including those described in Blink's, periodic reports filed with the SEC. And that actual results may differ materially from those contemplated by such forward-looking statements, Except as required by federal securities law, Blink undertakes no obligation to update or revise forward-looking statements to reflect change conditions. I will now turn the call over to Michael Farkas, CEO of Blink Charging. Go ahead, Michael.
Michael Farkas: Good afternoon, everyone. Thank you for joining us. Let me start by highlighting some of our achievements in Q3, which was a very strong quarter for Blink. As you can see, revenue grew to $6.4 million. A record for the Company fueled by strong performance in both product sales and service revenues. This was a 607% increase, I'm going to repeat that. 607% compared to the same quarter last year and a 47% increase sequentially from Q2. We are making tremendous charge increasing our network of Property Partners and signing exclusive multi-year contracts as we continue to gain traction in the ever-growing EV infrastructure market. In the quarter, we contracted, sold, or deployed over 3,000 commercial and residential chargers and have grown the number of commercial Blink loan charging stations by more than 100% compared to the same quarter last year, which aligns with our strategic focus on expanding our Blink-owned charging footprint.  We continue to target deployments in high density, high volume venues like municipal locations, mixed-use centers, hotels, multi family residential, and healthcare facilities. This will best position us to maximize the utilization rates of our chargers as more individual drivers and fleets transition to greener transportation. Our international growth strategy remains on track, highlighted by Blue Corner's most recent contract with KU Leuven to extend our charging stations to various locations across Belgium. Throughout the quarter, the Company has also been very successful, winning new grant and rebate awards from various government programs, bringing our total awards to $25 million this year alone. And lastly, we continue to add the most talented people in the industry to support our expected growth with over 20 new employees added in this quarter.  As we see in the next slide, the EV industry is in its early stages of massive growth for the foreseeable future. And we are well-positioned at the forefront of this industry expansion. The International Energy Agency projects global EV sales to grow from three million vehicles in 2020 to about 25 million vehicles in 2030. 24%  to our growth rate in this period alone, with sales of EV transportation segments expected to grow exponentially. There will be an ever increasing need for additional charging infrastructure. According to the U.S. Department of Energy, the country reached a milestone with its 100,000s EV charging station earlier this year. Industry analysts at Guidehouse Insights forecast that we will need a total of 120 million. I'm going to repeat that 120 million charging globally by 230.  This industry hasn't even started. This is providing tremendous opportunity for us to greatly expand our charging footprint. A key driver of this anticipated growth has been and will continue to be the favorable legislative environment surrounding EV adoption on both a national and global scale. As I'm sure many of you are aware, just last week, U.S. Congressional lawmakers passed $1.2 trillion bipartisan Infrastructure Bill of which $7.5 billion is just focused and targeted on EV charging build-out and infrastructure. This bill aligns with the President's aspirations to have half of the vehicles sold in the U.S. in 2030 to be 0 emission vehicles, and to have 500,000 EV charging stations in place that same year. The Biden administration looks at charging stations as one looks at gas stations where you have many pumps or chargers at those locations. So those 500,000 charging stations actually translates into $2 million -- $3 million individual chargers.  We believe this legislation is a game changer for our industry and will provide opportunities to significantly accelerate the development and deployment of an expansive EV charging network in the U.S. Looking at Slide 6, we believe Blink is uniquely positioned to deliver shareholder value driven by 4 competitive advantages. First, our products are built with the most advanced technology in the industry. We design our products with future innovation in mind, so they employ cutting edge technology and could be utilized for many years to come and not become obsolete like many competing charges on the market today. Again, we have a different model. We own and operate our charging solutions. We build our charging stations to last in the field for a very long time. Our competitors are driven by upgrades and their customers, they have to put new chargers in the ground every couple of years.  We built a better box because we own it and wanted to be in the field for a very, very long time. Second, we offer our customers multiple deployment methodologies to choose from, providing them with the ideal solution can match their specific needs. In addition to the flexible model options for our customers, we provide best -in-class products through long-term exclusive contracts with automatic extensions. These agreements allow Blink to establish a market presence at our customer's locations and add charging stations at our discretion, when usage increases and demand requires. We largely focus on charging stations that are Blink -owned because that enables us to benefit from, and take advantage of valuable recurring revenue streams for many years to come. Due to the breadth and depth of our offerings, Blink is the only fully vertically integrated EV charging infrastructure Company in the U.S. today.  Third, our Company is laser-focused on expanding our charging footprint both domestically and internationally. We are intent on finding partner locations in high density areas that will not only meet the needs of current EV drivers, but will position us also to capitalize on the steady transition away from gas powered vehicles to EVs. Europe has more quickly adopted the shift to EVs. And our recent acquisition of Blue Corner 's already extending our presence on the continent. We look forward to the continued expansion of our footprint through both organic efforts and M&A opportunities. And finally, as EV adoption accelerates throughout the world, combined with our expanding footprint of strategically placed charging stations, we believe utilization will continue to improve at a faster growth rate, leading to higher recurring service revenues in the future.  All together, these 4 key advantages are what sets us apart from our competitors and provides Blink with attractive long-term economics for our stakeholders. In summary, we're excited to have achieved record revenues in Q3, and we're making great progress on many aspects of our business, thanks to the tremendous efforts made by all of our dedicated employees. Our employees are what Blink is made of. It's important to remember that we are at the beginning of the EV transition, with much more to go, which is why we are strategically investing across our business to ensure we capitalize on all of the opportunities we're seeing in this amazingly booming market. 2021 has been a busy and exciting year this far, and we look forward to finishing the year strong and carrying on momentum into 2022. Now I will turn the call over to Brendan Jones, President of Blink,  some of our recent developments. Go ahead, Brendan.
Brendan Jones: Thank you, Michael. Good afternoon, everyone. It is a pleasure to speak with everyone today. We are seeing consistent and growing interest in our Company's products and services resulting in many new contract wins in Q3. Slide 8 shows you some of our notable U.S. wins, which include partnering with the city of San Antonio to deploy 202 Blink owned Level 2 charging stations and three DC fast chargers stations throughout the city, with the first deployment taking place a few weeks ago at the San Antonio Zoo. We're also expanding Blink mobility via our BlueLA car sharing program with the City of Los Angeles, to deploy and operate 300 additional charging stations, bringing the total under the program to 500, which will be placed at a 100 locations throughout Los Angeles. And we've entered into a 5-year agreement with Greenlight Communities to deploy 58 Blink - owned charging stations within their multifamily residential communities across Arizona, and we are looking forward to providing them with additional charging stations as new communities are built and expanded.  Now, turning to Slide 9, we've entered into 3 new reseller agreements that allow us to access the distribution channels of our partners and increase our market reach. We entered into a supplier contract with Sourcewell, a self-sustaining government organization that offers contract purchasing solutions, capturing the potential buying power of over 50,000 organizations. We signed a reseller agreement with Rudy's Performance Parts, an online North Carolina -based leading automotive provider for the resale of Blink chargers across their distribution channels. And we also partnered with traffic and parking control Company known as Tapco, a Wisconsin-based custom traffic safety and parking solutions provider for the distribution of Blink chargers. Now if you turn to Slide 10, within the last 12 months, Blink has contracted, sold, deployed, or acquired over 12,000 chargers, both domestically and international, bringing the total charge account for the Company to over 28,000 since Blink 's inception.  We have a healthy mix of deployments in the U.S. and abroad, with 63% of total Blink chargers deployed in the U.S. and 37% deployed internationally, predominantly in Europe through Blue Corner. In addition, as of the third quarter, Blink provide service to Over 250,000 registered members and unique users throughout the world. We expect the increasing demand we're seeing for our charging stations, as well as the expansion of our footprint on a global scale to drive strong revenue growth, both near and long-term for Blink. Now if we move on to Slide 11, there we are aggressively deploying charging stations in key geographic locations throughout the U.S. and Europe. Locations are strategically determined based on several factors, including EV penetration and driving habits, population and density figures, historical and forecasted traffic patterns, and future market growth potential.  This quarter, we deployed charging stations across 7 U.S. states and territories, working with both local and state government agency and numerous companies. On the international front, we continue to grow our charging footprint overseas through our European subsidiary Blue Corner, which most recently won a multiyear contract with KU Leuven, one of Europe's leading research institutes to provide and operate charging stations at their campuses across Belgium. While we have broad and diverse coverage across the U.S., we continue to remain focused on expanding our charging footprint in various countries throughout the world. Turning now to Slide 12, in the third quarter, we were awarded 5 government grants at the local and state levels, totaling tens of millions of dollars. A case in point is the $12.5 million grant we received from the Florida Department of Environmental Protection. Now this award is for the deployment of 5275 kilowatt DC fast chargers with battery and solar powered TV shade systems at 25 locations along Florida's major interstate highways.  We are very excited to have won this award from our own state, and are happy to see that more and more government officials are placing a higher priority on building out EV infrastructure and choosing Blink as their partner of choice. Grants and rebates provide an excellent opportunity to significantly expand our charging footprint across a larger geographic region, while minimizing Blink's total cash outlays for deployments, thereby decreasing the payback period and improving the return on investment. We placed a greater emphasis on securing grants and rebates to help fund the deployment of our chargers while simultaneously assisting these agencies to promote EV adoption, To make sure we win as many of these opportunities out there, especially as the incremental funding is set aside for EV charging stations as part of the new infrastructure bill, we are expanding our in-house grant and rebate team. This will enable us to have additional resources necessary to capture increased available funds to widely deploy EV charging stations across the country.  Wrapping up, we experienced significant sequential and year-over-year growth in the third quarter of 2021. The consistent growth in our deployment numbers, product sales, and revenues are excellent indicators of what's ahead for both Blink Charging and the industry as a whole. We remain confident in our ability to be a leader in the global EV charging infrastructure industry. Thank you and I will now turn it over to our CFO, Michael Rama, to run through some of the specific results for the quarter. Go ahead, Michael.
Michael Rama: Thank you, Brendan. And good afternoon, everyone. Now, turning to Slide 14, you will see that total revenues in the third quarter of 2021 grew to $6.4 million, a record for the Company, and an increase of 607% compared to the third quarter of 2020. In addition, third quarter revenues were up 47% sequentially over the second quarter, primarily driven by increasing demand for our global EV charging infrastructure and higher service revenues. Product sales in the third quarter of 2021 were $4.8 million, an increase of 766% over the same period in 2020, as customers purchased greater volumes of our commercial chargers, DC fast chargers, and residential chargers, as well as revenues generated through our Blue Corner acquisition. Third quarter 2021 service revenues, which consist of charging service revenues, network fees, and ride sharing revenues were $1.4 million, an increase of 425% compared to the third quarter of 2020.  This year-over-year growth was primarily driven by greater utilization of our chargers, an increased number of charges on our Blink network, revenues associated with the Blink mobility Rideshare program, and revenues from the Blue Corner acquisition. We feel combining these 3 service lines into the total service revenue amount makes it easier to differentiate between the product and service aspects of our business and aligns with our Company's strategic goal of increasing the service component of our revenue mix and growing our recurring revenue base. In time, as EV adoption accelerates in the utilization of our charging stations improve, we anticipate seeing a larger mix of revenues come from services. Gross profit for the third quarter of 2021 was approximately $900,000, an increase of 143% over the same period in the prior year, and up 39% sequentially from Q2.  Margins remain healthy and we continue to look at ways to reduce our component costs, especially in light of the ongoing supply chain disruptions occurring globally. Now, operating expenses in the third quarter of 2021 were $16.7 million compared to $4.3 million in the prior year period. The $12.4 million increase year-over-year was primarily due to three factors. First, as I have discussed on previous calls, we continue to make investments at hiring new talent in order to meet the ever increasing demand for our products and services. We are strengthening our sales, operations, marketing, IT, and customer service functions, as well as growing our in-house grant and rebate team as Brendan just mentioned. So we can capitalize on many EV infrastructure opportunities that lie ahead. Second, we recognized $6.1 million in higher share-based compensation expense, mostly related to a special performance option equity award.  We anticipate a similar non-cash share-based compensation amount to be recorded in the fourth quarter with this special performance option equity award to be fully expensed by January 2022. And third, the full operating expenses from our 3 most recent acquisitions, U-Go, BlueLA, and Blue Corner are included in the third quarter 2021 results, whereas these expenses were predominantly absent in the prior year's numbers. I do want to reiterate that we will continue to invest in new technology and talent across the business, but we'll ensure expenses are closely watched. This quarter, we are also introducing a new financial metric, adjusted EBITDA going forward. Our management team believes this non-GAAP measure is useful in evaluating our Company's core operating performance because it excludes items that are either significant non-cash or non-recurring expenses.  As such, adjusted EBITDA for the third quarter of 2021 was a loss of $8.4 million compared to a loss of $3.7 billion in the prior-year period, largely due to the higher operating expenses as I just mentioned. However, third quarter 2021 adjusted EBITDA improved sequentially from Q2 as we continue to make progress towards scaling the business. Now, turning to Slide 15, you can see that both our revenue and gross profit have performed quite well over the last several quarters, with the trend showing an upward growth trajectory. As we drive our own operated strategy combined with greater demand for EV infrastructure and increased utilization rates, we have the opportunity to dramatically improve both revenue and gross profits even further over time. Moving to our cash position, we ended the quarter with approximately $187 million of cash and marketable securities compared to $22 million we ended with last year.  We believe we have sufficient cash on hand to fund our strategic initiatives. These initiatives include building innovative product and software platforms, on-boarding additional talent, extending our market reach globally, and potentially acquiring businesses that could either accelerate the Company's growth, or expand Blink's vertical integration within the broader EV infrastructure ecosystem. Summing up, I'm pleased with the record revenues in the third quarter and the direction many of our financial metrics are headed. We're still in the early stages of the EV evolution and still have much work to be done. But we believe Blink is well-positioned to take advantage of the EV infrastructure growth, the industry is poised to deliver. I will now turn the call back over to Michael Farkas with some final remarks.
Michael Farkas: I would like to end this call emphasizing that our primary focus at Blink has been and will always be on securing the best locations and extending our relationships with property partners and location managers. We've always known that there would be multiple opportunities to monetize our trophy locations that we've developed over the last 12 years. More than just EV charging services. And we're excited to announce at this time another way of monetizing our portfolio of locations. We're unveiling new innovative products at CES in early January, this coming year. These new products features state-of-the-art technology with large high resolution screens that will allow Blink and it's property partners to monetize locations immediately by generating advertising revenues. These revenues will be in addition to the charging revenues received. Unlike others in our space, we'll give away charging services, which will now create yet another valuable recurring revenue stream potential for Blink and for our stakeholders. We look forward to rolling out this new product globally in 2022. So I encourage everyone to come see our booth at CES this year. With that, we will now open the call for questions.
Operator: Thank you, ladies and gentlemen the floor is now open for questions.  to leave the queue. We do ask that if you are listening via speakerphone, to please pick up your handset for optimum sound quality. . Please hold for a moment while we poll for questions. And our first question today is coming from Matt Summerville at D.A. Davidson. Your line is live. You may begin.
William Jellison: Good afternoon. This is William Jellison on for Matt Summerville today. I wanted to begin by talking about charging service, because it's a pretty impressive ramp from second quarter, I was just wondering if you could provide any color as to where that charging service number came in relative to what you were expecting 9 days ago? And as well, if you can provide any color on the mix between what incremental revenue was generated from new stations themselves versus an increase in utilization.
Michael Farkas: Hello, this is Michael Farkas. Again, obviously we are seeing more people traveling today, and that's going to impact charging station revenues considerably. There are more people on the roads and as you could see from EV sales, you're seeing more EVs specifically on the road. That's been pretty impactful. Michael, you want to grab the second part of the question?  repeat that?
Michael Rama: Yes, some strong second and third quarter growth in our charging stations. Quarter-over-quarter from the third quarter of last year. Part of it was a ramp up because of the obviously lower utilization from COVID in 2020, but we have a lot more chargers that are also in the ground that we're operating it -- that we own and operate. And also a contribution to that is Blue Corner. Remember their mix; They are also on our operator business, like we are in selling -- as well as selling chargers. So there was a contribution that comes -- we've had a mix -- we don't have a specific percentage of where -- it came from all over the place. So we're very encouraged with the continuous growth in that charging revenues, obviously very excited. And we expect that, obviously, as more and more chargers are put in the ground that we own and operate, to see that continued trajectory.
William Jellison: Understood. Okay. And then for my follow-up, pivoting to supply chain, which I'm sure you felt to some degree, along with most everyone else in the world this quarter, do you have any commentary as to where you might have felt those challenges? Thinking about either logistics versus component sourcing, and where you expect those challenges to take you in fourth quarter and into 2022?
Michael Farkas: Okay. we've been fortunate enough not to be heavily impacted today by some of these component shortages, other than releasing newer technology. There's a protocol that's being implemented throughout the industry, that's positive charge, should only move applications and you don't need RFID cards. Unfortunately, that's being impacted right now. But for us getting our charging stations out there without some of that newer technology we're doing okay. But shipments do take a bit longer than we expect. That is impacting us a bit. We hope that it's going to be cleared up by mid to late second quarter of 2022.
William Jellison: Understood. Thanks for taking my questions.
Operator: Thank you. Our next question today is coming from Craig Irwin at ROTH Capital Partners. Your line is live. You may begin.
Craig Irwin: Good evening. Thanks for taking my questions. Guys you've been at this game for quite a while, right? And you've been a public Company for a number of years. There was another Company that reported in the last couple of days. They gave guidance based on a holiday season, maybe causing a contraction in the miles driven with EVs and maybe demand for charging. Can you maybe talk a little bit about the historic trends you've seen in the holiday season? And whether or not you think that people are actually starting to drive longer distances with their EVs, use them more and want to show them off to the family members when these holiday events come around.
Michael Farkas: We're not experiencing the same issue as some of our competitors. You are correct. We are doing this for a very long time. We've been doing this longer than pretty much any of our competitors, especially from an oil and operate position, we kind of invented the space.
Craig Irwin: Yes, you did. So the second question, I know you guys are always a little bit shy.
Michael Farkas: 
Craig Irwin: Sorry? Sorry, Michael, I was just going to ask my second question is, I know you guys are always a little bit shy talking about utilization on the network. If we could maybe talk in general relations here, it looks like you're more than doubled the utilization this past quarter than any proceeding quarter. Actually, I would say closer to 2.5% above the utilization peak that you hadn't any proceeding period. Is that approximately accurate?
Michael Rama: I'm not sure we lost Michael.
Michael Farkas: Well --
Michael Rama: This is just.
Michael Farkas: Go ahead Michael Rama, why don't you answer the question?
Michael Rama: Yes -- no. You're right, we're seeing the increase in utilization, obviously, we're still in general as we've mentioned before, EV -- the percentage of EV to vehicles is still low n the ecosystem but we're seeing that trajectory start to increase. More OEMs, more vehicles on the road, and we are seeing that increase in utilization with many of our chargers, and yes, the increases, as you noted, Craig, you're seeing it as well.
Michael Farkas: We're back on. Sorry for that technical difficulty. I guess the phone gods don't like me on these calls.
Craig Irwin: Both you and me, I think, were cut off last time.
Michael Farkas: Exactly. I guess I'm the unlucky one, and you're still on.
Craig Irwin: Well, yeah, maybe, I guess. Last question, you're clearly investing for growth here. How should we think about the expense burden in the next few quarters? Should we look at similar sequential growth over the next couple of quarters? What factors do you consider in your hiring programs and your investment in market development?
Michael Farkas: We see growth increasing across the board for the next little while in this space. Will we have 600% and 700% growth in parts of our business? Could be, but again we're more conservative in our approach. If we over excel and do better than we expect, that's great. B But the growth is going to be in this industry. As I mentioned on what I said earlier, we're talking about reaching a benchmark with about 100,000 units earlier this year. And globally we need 120 million chargers by 2030, we believe that we're going to be able to participate and deploying a lot of those charging stations, whether we own that an operating through our Blink owned model, or we sell our hardware to third-parties. We believe we're going to participate. We've been getting some tremendous validation within the industry. And as people see more and more of our chargers on the streets in trophy locations in the buildings they living, the buildings they working, they'll be more and more familiar with us and I think will accelerate our growth as well.  But this industry is going to grow for the foreseeable future, and everyone really needs to take into consideration. Remember something. It's inevitable, probably Monday sometime our president is signing the Bill. You're talking $7.5 billion being invested in deploying charging stations throughout the U.S.. Just historically looking how we've been able to participate on these grants and rebate, we should be able to extract a lot of that money. Whether it's our customers using that capital to deploy charging stations, or us getting as much of it is possible for us to deploy charging stations that we own ourselves. So right now, historically we've never seen a business that is in such a growth phase and also being showered with massive capital by the government. And that's the position that we're in.  Everyone who is in this industry right now is going to be able to take advantage of these opportunities. It just so happens that Blink is I believe better positioned than most because of our experience, because of our team. Put our team against any Company out there today, and hands down I think we're the clear winner. We have tremendous amount of experience, look at our team from Brendan to Mico, Tarek's art, the experience that we have and is second to none.
Craig Irwin: Great, well congratulations on that revenue results out. I'll hop back in the queue.
Michael Farkas: You've got to, thank you.
Operator: Thank you. Our next question today is coming from Sameer Joshi at Wainwright. Your line is live you may begin.
Sameer Joshi: Good afternoon, guys. Congratulations on the great progress. Michael, you mentioned and --- looking across the business, when you step back and look at your priorities, is it more along acquiring more companies similar to Blue Corner? Is it next-generation product development? And most importantly, activities around making sure you have a seat at the table, around the $7.5 billion starts getting deployed and distributed.
Michael Farkas: Okay. When it comes to our M&A plans moving forward, we plan on growing organically and through acquisitions. This Company's main focus has really been always to bolster their portfolio of locations, and then we've done some other acquisitions, as well. But our main focus is really to how we're going to get more customers and how are we going to drive down the price of our fuel to get to those customers. That's our business really fueling customers with electricity and bringing down the cost of our equipment, while building a tremendously amazing box. That's what we work on. And our acquisitions are going to be structured around that. And then first and foremost is really extending our portfolio over locations. I've been saying this for over a decade. This is a land grab. This is still a land grab. You have a 100,000 charges, as I mentioned earlier, that we achieved earlier this year. And there's a few more since then. But there's tens of millions that need to be installed here.  And globally, as I mentioned, 120 million by 2030. Our objective and our goal is to have as many locations that we can have that we own and operate that we have long-term recurring revenue streams on an exclusive basis. and again, it's not about whether it's a Level 2 charging station or a DC fast charging station. I think a lot of people miscategorize us to say, "Hey, you, level 2 guys. " No, it's not about that -- it's not getting the land. It cost us $5 or $6 thousand to put a level two charging station there. And today, it may not want that you see fast chargers, but that's now on location, Our competitors are investing in putting DC fast chargers and some of them who put DC fast chargers in over the last 5,6,7,8 years, almost all of their entire portfolio DC's are going to be thrown in the garbage.  And most people don't realizes and space. But what we've done is we've invested in a location at the smallest entry point as possible, And when utilization increases and it warrants spending $50,000 or $100,000, $200,000 to outfit a location with DC fast chargers, we can always pull that level 2 out and put in whatever we want. In our contracts when we own and operate, it's not about a piece of equipment, it's not about technology. It's about us having the exclusive right to provide electric vehicle charging services at that entire location. And that location consists of -- if you're on a scooter, I know it gets that granule. If you on an E-bicycle, an E-motorcycle, an EV that you're driving in, or one of these drones that you're going to be flying in a few years, that is our exclusive domain at that entire address. And it's not about a level 2 charging station or a DC fast charging station. It was about us being wise enough at that point in time to spend as little amount of money to gain access to that location on an exclusive basis. I hope I answered all your questions.
Sameer Joshi: Yes. We have always appreciated you, as a Company that has built itself on land grab. And I'm sure you will continue to do so. One part of the question was about how to get the seat at the table for this $7.5 billion? And I know --
Michael Farkas: We're there. Remember, it's about experience and history, You have new fly-by-the-night companies that just came in. They have this thing and that thing and that thing. How many companies out there have actually developed hardware, have their own network, and it's actually putting thousands upon thousands upon thousands of units actually in the ground. And has the portfolio of properties that we have. I don't care if you're talking easy though. I don't talk care if you talking Electrify America. Look at the numbers of properties we have versus them, versus any of them. Nobody is even in comparison to us, but nobody's valuing the portfolio of properties that we have. There just looking at, if you go to Electrify America -- even ChargePoint. ChargePoint doesn't own anything. They sell a charging station. I can't tell you how many locations. We go in there and pull out an old charging station and on ChargePoint, I mean we now have a long term exclusive contract with them.  Because our contracts are sticky and when we own a location, it's not about that one charging station. We have the entire parking lot, every single parking space in that facility is ours. So when EVs are 5%, we could have five or ten units in there, and when they're a 100%, we get two, three and four hundred units in that parking spot -- in the parking lot. And we have locations they've got 13 and 14 and 15,000 spots, and you may need 20%, 30% or 40% of them lit up. That's ours already. Should -- we could do that, that gives us a seat at the table because we've done this longer than anybody, we have more access to locations than anybody, We have amazing legacy customers and there's nothing you can compare to the experience.
Sameer Joshi: Certainly. Just one more -- on sort of along the same lines of having land grab and stickiness. You haven't on 250,000 registered member, are there any lands to impede that.
Michael Farkas: When you add up all of the different customers or users that we have on our network, it's considerably higher than that. I'm not sure what -- I don't remember what was posted the latest Q&A discussion here not too long ago.
Sameer Joshi: It was just mentioned on the call today, someone in the cost prepared remarks. Just wanted to see if there are concrete efforts or plan to increase that stickiness.
Michael Farkas: Without a question. There's no question about -- we are going through a phase of growth that is beyond my dreams. The addition of Harjinder as our CTO, what you see today, and what you're going to see happen over the next quarter -- quarter following, and the quarter after, you're going to see a Blink that no one can compete with in comparative. The experience and the knowledge that Harjinder brings to the table and the team that he has: It is nothing short of amazing what we're doing and it's touching every single aspect of our business. Whether it's the IT in our Company, whether it's the hardware itself, the services, the systems, the functionality, the features, you're going to see a different Blink over the next 6 to 12 months. You guys will be very surprised. There's not 1 thing in this Company that's not going to be completely revised, and taken up to levels that are not in the rest of the space.
Sameer Joshi: Yeah, no. I --
Michael Farkas: I know people say, hey, wait, maybe Michael is being a little bit aggressive, but you want to know something, for 13 years I've been pitching EVs when everybody thought I was nuts. Everybody thought I didn't know what I was talking about. But the bottom line is I'm telling you the team that was built over the last little while and the outcome of their efforts are now starting to be felt. And what we're going to see over the next little while, is just incredible. I could speak of this because I know what my competitors are working on. I know it's their products on mark. And you could see what we're going to have over the next little while. It's going to be very, very impressive. I will just tell you, sit back, relax and enjoy the ride.
Sameer Joshi: Thanks, Michael. Congratulations once again.
Michael Farkas: Thank you.
Sameer Joshi: Thank you.
Michael Farkas: You've got it.
Operator: Thank you. Our next question today is coming from Gabe Daoud, at Cowen. Your line is live. You may begin.
Gabe Daoud: Thanks. Good afternoon, guys. I was curious if you could maybe talk to or maybe guide us to a little bit of what you have in the backlog in terms of stations that Blink owns and operates that are maybe in some construction queue that you'll tend on getting to over the next couple of month. Is there a number that you can maybe talk to in terms of stations that are in progress?
Michael Farkas: I don't think we've ever publicly disclosed information like that, so we weren't really prepared for that here. But the best thing I could tell you is, if you haven't downloaded our app, download our app. And without me disclosing any names or having to say anything, scroll in on the entire U.S. on that map, and then press the list button so you could see that written out by names. And then start scrolling through those names. And then you understand the industry validation that we're now receiving. Without tuning our own horn, do that on their own and it will speak for itself. The bottom The bottom line is we haven't ever detailed and outlined our pipeline before. And not have to see the legal and I don't know if this is the time to do it right now.  But ultimately, again, this industry is at such a massive of growth phase. We're going to see massive, massive activity now with the Biden dollars, and none of us having ourselves or any of that have periods.. Without a question, you're going to see major, major growth in the century across-the-board, whether it's sauce for any of our competitors because of what's just going on legislatively and the amount of money that's available globally.
Gabe Daoud: Thanks, Michael.
Michael Farkas: I hope that answered your question.
Gabe Daoud: Yeah, we could certainly take a look at that. And then I guess -- just following up the new product that it -- looks like you'll outline or unveil in Vegas in a couple of months here. Could you maybe talk a little bit about that? How that changes with the strategy, these advertising stations, and if you have any demand or orders for anything like this so far.
Michael Farkas: Yes. We have a tremendous amount of interest in having a product like this available. We are very interested in having the product because it allows us to monetize locations that we've developed over the last decade plus. Where in the past we reliant solely upon charging station revenues, or obviously our hardware sales. This really allows us to incentivize property owners to put the hardware in today, because there's instant gratification and with charging stations. It's a little bit further down the road. And we're looking at this product both as in our own and operate model, as well as being able to provide this to those that buy chargers from us. And then being able to participate on the advertising side. We're extremely excited about this. I'm sure most of you guys, over the years, if you've heard me, I've always talked about different ideas and concepts that we're going to, hopefully once we reach a certain scale, start releasing and trying to monetize all these locations that we have.  And there's quite a few different ways to do so. This is something where we believe we could make a very big impact in the market. We're not looking to give away free charging, as some of our competitors do. We're looking to go ahead and have the property owner be able to participate and share in the advertising revenues, as well as charging station revenues. And we believe that it's an amazing product that's going to be really very well received by property owners across the globe.
Gabe Daoud: Great. Looking forward to more details on that. And then just last one for me, Michael, is there an updated station count? Anything that the number on the conference call and I was curious on the stations that are on network. What's the percentage, what's the update on the ones that you do own and operate at this point?
Michael Farkas: Michael, do you have that on you?
Michael Rama: Yes, we have about and we'll be releasing in the Q -- tomorrow when we file, we couldn't file today because of that see what's closed. But as part of the slides of the combined over 28,000 of what's on the Blink network. 7200 on the Blink network, and 4,430 are L2 publicly accessible commercial chargers. So we've been running about half-and-half between what's owned and -- what's our owned operated and what's some of the wholesales.
Gabe Daoud: Got it.
Michael Rama: Okay. Thanks, guys.
Operator: Thank you. Our next question today is coming from Stephen Gengaro at Stifle. Your line is live. You may begin.
Stephen Gengaro: Thanks. Good evening, gentlemen.
Michael Farkas: Good evening.
Stephen Gengaro: 2 things for me -- 2 things I wanted to ask you. One is, can you give us an update on the Blue Corner transaction and just maybe as part of that, I'm curious, is there anything that you've learned from them that is applicable to the U.S. market that you hadn't thought of? Or ?
Michael Farkas: I wish I was on video because when you asked me about Blue Corner, I just had this massive, massive smile on my face. 1 of the things about Blink is, most don't know, but -- we've grown through consolidation acquisitions. I think we're a combination of about 11 or 12 companies to date. And I used to think the Ecotality acquisition where there was about 200 million or 300 million invested in the Company. and we bought them for $3.35 million and all their assets and the Blink name and the Blink technology. I used to think that was the best transaction that Blink ever did. And most people are like, what's wrong with Blue Corner? How's it possibly what those guys are like EUR25 million, there must some major issues with that Company. I have to tell you without doubt as of today, Blue Corner was the best, most on unbelievable transaction this Company has ever done.  The growth that they are having, the impact that they have is just off the charts. The amount of exchanging between us and them from every facet of our businesses is across the board. And if you took that Company and looked at it on its own merits and it was a standalone Company and it was trading on its own, I would tell you the Company probably be worth $1 billion on its own. Based upon, obviously, these beautiful valuations that we have today in the space. I don't think this Company has received any value for that acquisition as of yet, because I think everybody has underestimated us, and realized what we've accomplished with that deal. It is off the charts for the Company and we're seeing it and feeling it every single day. And what we're working on right now is simply the internationalized in point because today we have a Blue Corner network. And then we have another Blink International network, and then we had the Blink network. In very short order, you've been have one Blink network that handles all of these charging stations across the globe, multi-currency, multi-language. And we're going to see some amazing savings to our businesses. Like those we acquired because of those investments through our network and everything and all the technology around it. And the Blue Corner transaction was just off the chart for us.
Stephen Gengaro: Thank you. And the other question I just wanted to ask about, as -- I know you're not going to give any specifics about the fourth-quarter, but when you think about the fourth quarter from a seasonality perspective, do you tend to see more installations and more sales? And I imagine maybe more sales just because of the auto sales in general tend to be up late in the year. But 
Michael Farkas: No. The third quarter, typically because you have the Thanksgiving, and Christmas, and the end of the year, and all that kind of stuff. Typically, as you could see, historically  bunch of different quarters, you can see the trailers. Historically the fourth quarter is slower than the rest of the year. Again, we will see how that goes. It hasn't been too bad, but it's definitely without a question, you do see some seasonality. Also remember we're installing equipment throughout the country. There are certain cold areas that makes it a little bit more difficult to install. So we definitely do see some seasonality in our space.
Stephen Gengaro: Would that just suggest slower growth, but growth sequentially, or do you not want to comment?
Michael Farkas: Again, just -- if you look at our prior-year periods over the last year and then the prior periods, we're showing exponential growth from prior-year periods. But as a quarter of the year, it's slower than, let's say, other quarters of the year because of the seasonality, and the weather and so on.
Stephen Gengaro: Thank you. I appreciate the color. Thank you.
Michael Farkas: Any other questions?
Operator: Yes. Our next question today is coming from Noel Parks at Tuohy Brothers. Your line is live. You may begin.
Noel Parks: Hey. Good afternoon.
Michael Farkas: Hello.
Noel Parks: One question I wanted to ask you about, you touched on it a little bit of that -- is that we do have a bunch of international players in the EV charging space, without the U.S. presidents who are in the process of entering. But in contrast to your business model, most of them are just OEMs whose business does not extend to installation. And generally you think. You know, more competition, not a good thing. But I'm just wondering, does the wider hardware variety that's on its way to get an offer in the U.S. Is there absolutely an opportunity or a benefit to you potentially from that?
Michael Farkas: When you mean by installations, you mean by owning and operating or actually doing the physical installations?
Noel Parks: Actually either one, most of them are just equipment only of the like Asian and European players that are now starting to work their way into the U.S.
Michael Farkas: Okay. Our philosophy that we developed about 13 years ago, almost, led us to the belief and understanding that all hardware becomes commoditized. And I'll just give you a perfect example, the first ChargePoint unit that we ever bought, in our first half of our lives, us and ChargePoint, they were our supplier, we were their biggest customer. Once we bought the ECOtality assets, we started developing our own hardware. But prior to that, we only owned and operated. We bought hardware at $6,200 for a single port unit. I think it had maybe 1.8 kilowatts of output. And today we're seeing stuff on the European side of business, maybe $1000, 1200 per port. And you're looking at potentially 43 kilowatts of output. So you're talking about massive commoditization, massive consolidation on pricing, massive compression, obviously. 6200 much, much, much faster and much more robust, much more features. And you're getting down to a thousand.  That's not the space that we want to focus on because that's inevitable. You're going to have charging ports for a few $100 a piece that are going to have connectivity. It's ultimately going to get there. The real future of this business is owning those locations and having the recurring revenue stream over and over and over again. Hardware becomes commoditized in every business, we see that across the board. And you usually typically have a few players. We built a charging station that can satisfy our customers, and satisfy our property owners, and make sure that we alleviate obsolescence. And we use that and build it for our business. Most of our competitors who develop hardware, as I mentioned earlier, they look for upgrade cycles, they want to get rid of that stuff. Completely aware of building hardware. And again, take a look at the map as I mentioned earlier.  You could see a lot of industry validation of where these are going, and reason why is because these OEMs actually benchmark units against all of us. Us in ChargePoint, CMA and FLO and anyone and everyone you can think of domestic and foreign. And we were selected. Why? Because we build a better box. And the reason why we do so is because our model is different; we own it. We want to have these things in the field for 10, 20 years if it's possible even. Our competitors build a different -- feel differently. It's totally different models. We will spend a little bit more to firm up the unit that a little bit better of a components. Our competitors say like, hey, we want a modem to go offline and you have to buy a whole new unit in the future. We have a different way of looking at things. You want to make sure if there's modems change, you go into that unit to change the modem without having just a little boxes garbage.  Different philosophy of building hardware because we own and operate. And we're seeing the payoff of it. We're seeing people really want to buy our hardware. I think it's going to be a very difficult market and I think it's commoditizing because of the interest, and because of global nature of the space. But positioning ourselves as we have is to taking advantage of the opportunities while they exist. So while there is an opportunity to sell hardware, we're a key player in that space. While there's an opportunity to provide networking services to others besides ourselves, we are in that space. But our real business, what we look at, where we're going to be in 10 and 20 years from now, is owning those charging stations and making money every single time you fuel that vehicle.
Noel Parks: Right. Got it. Thanks. And for the ad revenue that you're envisioning with the new products you're going to be launching, and I know it's early stage with this, but is there anything you can talk about as far as what the sales channels are that you might envision for selling the ad revenue?
Michael Farkas: Okay, first off I want you to understand when we're deploying one of these advertising pedestals, they won't be installed unless we have an advertiser who is willing to commit to pay for that advertising. So that's number 1. It is not that we are just going to send money to put something in there and take some risks. That's not what we're doing. When we own and operate it, our plan is to make sure that we have the advertisers there. When we sell to a third-party, they may have their own uses for it, for their own advertising, or we'll bring the advertisers to them and monetize it that way. But we plan on when you look at the type of locations that can use this type of service, look what we're building out, look how many municipal contracts we have, hospitals, movie theaters, mixed-use location, shopping malls, on the streets.  There are certain locations that don't want them, right? Like you might have a high-end condo building whose want to charge on  didn't having screens. but you have a lot of others where you have an apartment building where the property owner doesn't mind having some advertisers if you generate additional revenues. So there are so many different locations that can use the service and want the service, it's just something really great to have in our portfolio. And every one of our locations than want to have it, we're going to put it in as long as we can get a commitment from an advertiser, so that we can monetize litigation. We're not interested in having the field of dreams model with this product, this is something that we're going to have a deal on hand before we're living deploying these pedestals.
Noel Parks: Great, thanks. I think it's an important distinction. Thanks a lot.
Michael Farkas: You got it.
Operator: Thank you. I would now like to turn the call back to Michael Farkas for closing remarks.
Michael Farkas: Thank you everyone for joining us. This is an extremely exciting time for our Company, and we remain focused on expanding our footprint, growing our customer base, and establishing new partnerships. We look forward to speak with you again very soon. Thank you, everybody.
Operator: Thank you, ladies and gentlemen. This does conclude today's event. You may disconnect at this time and have a wonderful day. We thank you for your participation.